Operator: Hello and welcome to the Q3 2019 Dine Brands Global Earnings Conference Call. My name is Sheryl, and I will be your operator for today’s call. At this time all participants are in a listen-only mode. Later, we will conduct a question-and-answer [Operator Instructions]. Please note that this conference call is being recorded. I would now like to turn the call over to Ken Diptee, sir you may begin.
Ken Diptee: Good morning, and welcome to Dine Brands’ third quarter conference call. I’m joined by Steve Joyce, CEO; Tom Song, CFO; Jay Johns, President of IHOP; and John Cywinski, President of Applebee’s.  Before I turn the call to Steve, please remember our Safe Harbor regarding Forward-Looking Information. During the call, management may discuss information that is forward-looking, involves known and unknown risk, uncertainties and other factors, which may cause the actual results to be different from those expressed or implied. Please evaluate the forward-looking information in the context of these factors, which are detailed in today’s Press Release and 10-Q filing. The forward-looking statements are as of today, and assume no obligation to update or supplement these statements. We may also refer to certain non-GAAP financial measures, which are described in our press release and also available on Dine Brands IR website. With that, I will turn the call over to Steve.
Stephen Joyce: Thank you Ken. Good morning everyone and thank you for joining for today’s call. I’m pleased to report that we have achieved several business and strategic objectives during a challenging quarter for the industry. IHOP’s comp sales were slightly positive in the third quarter, while Applebee's performed in-line with the revised expectations that we communicated last quarter. Both brand cycled over strong promotions in the third quarter of 2018. Notably IHOP launched our ultimate steakburgers platform last year with the single tweak to imply that we were changing the brands name to IHUB and this went viral worldwide. At Applebee's, we brought back our popular All You Can Eat Riblet and Chicken Tender and introduce our new three course meal, which contributed to the brand's highest quarterly comparative sales increase in over two decades. As others have noted, the industry continue to face difficult comparisons coupled with challenging traffic trends during the quarter this year. Both Jay and John will provide details on the performance of their respective brands a little later. We are pleased we have announced the largest multi unit development deal in IHOP's history. We have plans to develop nearly 100 IHOP restaurants with TravelCenters of America, headquartered in Westlake Ohio, which conducts businesses in 43 States and Canada. Jay will provide further details on this exciting new partnership. Turning to our financial results adjusted EPS improved compared to the same quarter of 2018. We also continue to see improvement in consolidate adjusted EBITDA, which reflects the stability of our asset light model. Another compelling attribute of our business model is the ability to generate substantial adjusted free cash flow. In the first nine-months of 2019, we generated approximately $100 million in free cash flow. G&A, which is an important lever for us declined approximately 4% compared to the third quarter last year. We will continue to closely manage our G&A. Since joining Dine Brands as CEO in 2017, we've executed in some multi prong strategy focused on returning to a growth Company. To that end, we've maintained a discipline focused on those strategies, which will drive sustainable positive sales and traffic. These include investing in data analytics and consumer insights to understand our guests better and develop a greater assessment of the competitive landscape.  Operations excellence in our restaurants, which contributed to achieving higher overall guest satisfaction scores between 2017 and 2019. Culinary and menu innovation to provide our guests with a broad array of credible food at attractive pricing. Remodel programs, which create a warm and inviting atmosphere in our restaurants. Strategic development initiatives to expand our domestic footprint in high impact locations. Growing our off-premise business to accommodate the ever changing design preferences of consumers.  We are also leveraging technology enhancements to improve how guests engage with our brands, either in restaurants or off-premise. While, our progress has produced positive results. We are not complacent. We are committed to working even harder to build insurmountable leads in the categories in which we operate, while strengthening our brands. I would like to highlights that for the 12th consecutive year, IHOP was ranked the number one in family dining by nation's restaurant news based on domestic system wide sales for 2018. Applebee's also has a long track record of being one of the top ranked casual dining chains.  Now let's turn briefly to our Applebee's franchisees. We've improved the brand's franchisee financial health over the past two years, while focusing on enhancing brand relevance and attracting new top tier operators to the system. In fact, two of these franchisees, currently rank among the top performers in the domestic system. This is a testament to our strategy of evolving the franchise portfolio by adding highly experienced franchisees. This approach contributed to the overall improvement in comp sales between 2017 and today. As a result Dine Brands record a significantly lower amount of bad debt by the end of the third quarter of 2019, compared to two years ago. We continue to closely monitor the health of our franchisees and we are pleased with the progress that they have made. Tom will provide more color on franchisee financial performance. To close, our franchise model continues to produce strong adjusted free cash flow and our industry leading brands are well positioned to gain share in a competitive environment.  With that, I will now turn the call over to Tom to discuss the financial results. Tom.
Thomas Song: Thank you, Steve. Good morning everyone. While we have difficult comparisons for last year, I’m very pleased to report that we delivered year-over-year improvements and adjusted EPS and adjusted EBITDA.  For the third quarter of 2019, adjusted EPS was $1.55 compared to $1.53 for the same quarter of 2018. The increase in adjusted EPS was due to relative earnings stability and the result of our commitment to return capital to shareholders through share repurchases. I will provide more color on capital allocation a little later. Turning to our franchise operations, gross profit declined 2.5% primarily due to a decrease in Applebee’s franchise revenues due to fewer effective franchise restaurants, which include the impact of our acquisition of 59 units, resulting in franchise royalty being replace with Company operated sales. Additionally, a decrease in domestic franchise restaurant top sales and the decrease in revenue recognized upon cash collection which did not recur this year also contributed to the decline in the franchise revenue. This decrease was partially offset by growth IHOP franchisees. In fact, when looking at Q3 revenue mix excluding the advertising fees and Company operated sales, IHOP revenues now constitute 68% of Dine’s profit generating revenues.  At this time, I will like to provide some insight into the franchisee financial in doing so, I would also emphasize the data that I’m citing, does not represent the financial data for Dine. It is primarily based on our comprehensive surveys and data submissions from franchisees, which have not been subjected to independent reputation. For Applebee’s we have been tracking both Four-Wall and franchisee entity level financial performance. Let’s start with Four-Wall. When looking at our trends from 2017 to 2018 not surprisingly we saw improvement in margins, which was significantly driven by the 5% increase in comps. While cost of goods remain flat approximately 25% for the system, total operating expenses including labor cost decrease slightly for both Four-Wall profit that averaged starting in a low double-digit margin range. Importantly, for 2019 performance, AUVs on stores remaining opened are slightly stronger than system wide top performance, up over 1% in the first six months of 2019 compared to the same period in 2018.  Food cost improved slightly in the first half of 2019 versus the same period of last year. However, Four-Wall EBITDA margins during this period were down 1% almost entirely by the increase in delivery service provider fees paid, but EBITDA margin was still in the low double-digit range. As John will note, we have addressed this issue with new contracts with delivery service providers that are designed to make delivery fully profitable for franchisee. Importantly, the market basket for Applebee’s cost of goods is expected to be favorable by approximately 2.9% for 2019. With respect to franchisee entity debt leverage, we have seen dramatic improvement since 2017. Looking back the system averaged three times debt to EBITDA historically, but then had significant variability in 2017, and had returned to a more normal range in 2018 with approximately three and a half times average leverage. With respect to IHOP, we have seen very stable Four-Wall profits over the past few years, with lower food and lower labor costs when compared to either Applebee's or other full service restaurants. When comparing the first half of 2019 to the same period of 2018 IHOP franchisees actually had higher margins in 2019. The market basket for IHOP cost of goods is expected to be favorable by approximately 90 basis points for 2019. We continue to work with our franchisees and improving Four-Wall profitability, including improving comp sales. Finally, I want to highlight that an industry leading study across all brands showed similar data as our own and when compared to other brands, Applebee's Four-Wall profits at the franchisee level are consistent with other national publicly traded brands franchisee margins, and IHOP franchisee profits significantly exceeds their competitive set of Family Dining franchise brands.  Regarding G&A. Now back to Dine Zone financials. As Steve mentioned G&A is an important lever for us. Our G&A for the third quarter was $38.9 million compared to $40.8 million for the same period of last year. The decline year-over-year was primarily due to lower compensation costs and lower P&E expenses. We will continue to diligently manager G&A and expect modest growth over the long-term consistent with the rate of inflation. Regarding our tax rate, our GAAP effective tax rate for the third quarter of 2019 was 24.6% flat compared to the same period of last year. Turning to your cash flow statements. One of the advantages of our highly franchise model is the ability to generate stable and strong adjusted free cash flow. For the first nine-months of 2019, adjusted free cash flow was $101 million, compared to $63 million for the same period of 2018. Consolidated adjusted EBITDA for the third quarter of 2019 was $63.4 million compared to $62.2 million for the same quarter last year. Excluding advertising revenue and Company operated results, our adjusted EBITDA margins in the third quarter of 2019 improved to 52.6% from 50.5% for the same quarter last of year. Returning capital to our shareholders remains a top priority. We have returned a combined total of $55 million in the third quarter. This was comprised of $12 million of quarterly cash dividends and the repurchase of approximately 524,000 shares of our common stock at a total cost of $42.7 million. This amount in the third quarter alone exceeds the $35 million we repurchased in the entirety of 2018. Switching gears to our 2019 financial performance guidance. I would like to highlight some revisions. These updates reflect, among other factors, our performance has evolved during the third quarter, and our overall outlook for the fourth quarter of 2019. Please see our press release for complete details.  We now expect Applebee's domestic system while comparable restaurant sales performance to range between zero and negative 1%. This compares the previous expectations of between zero and positive 1.5%. We now expect IHOP’s domestic system wide comparable same restaurant sales performance to range between positive 1% and positive 2%. This compares to previous expectations of between positive 1% and positive 3%. We currently expect on our franchisees developed between 10 to 20 net new restaurants globally, the majority of which are expected to be domestic openings. This compares to previous expectations of between 20 and 30. For Applebee's, we now expect that closures to be between 30 and 40 restaurants globally, the majority of which are expected to be domestic. This compares the previous expectations of between 20 and 30 units. We now expect adjusted earnings per diluted share to range from $6.75 per share to $7 per share. This compares to previous expectation for range from $6.80 per share to $7.05 per share.  To close, we have let our business through a competitive period in our very own difficult same restaurant sales comparisons. I'm pleased that we've been able to maintain costs and margin discipline with EBITDA guidance remaining unchanged through the course of the year.  With that, I'll now turn the call over to John.
John Cywinski: Thanks, Tom and good morning everyone. In-line with our expectations Applebee's posted a 1.6%. comp sales decline, in Q3 as we lapped our record settings 7.7% increase from last year. The highest comp sales results reported by any restaurant brand in Q3 of 2018. After significantly outperforming the casual dining category on comp sales last year, our 2019 year-to-date performance is identical to the category average through Q3. With that said, we are expecting a challenging Q4 given our very positive 2017 and 2018 Q4 comparisons for context our Q4 two years hurdle of plus 4.8% is the highest we've seen since early 2012. These expectations are now reflected in the full-year Applebee's guidance that Tom just outlined for you. Now moving forward, there are three important milestones I would like to highlights for the Applebee's brand. First 2019 marks the completion of our three-years strategic initiative that close approximately 200 underperforming low volume restaurants, with a current base of 1667 us restaurants 2020 will bring a normalized closure rates of less than 1% of the space while we return to selected - development towards the end of 2020 and certainly into 2021. Additionally, we've completed eight franchisee transactions over the past two years, representing about 170 restaurants. This portfolio evolution has resulted in the exit of several underperforming operators, while introducing new and deeply experienced franchisees to the Applebee’s system as well as creating growth opportunities for several existing franchisees. Perhaps most importantly for the first time in three years, we have no material royalty or advertising delinquencies, as of the close of Q3. This is a significant development, one that ensures a far more stable and predictable income stream, as well as a fully funded 4.25% marketing plan are coming up here in 2020. These very tangible milestones bode well for our future, it means the Applebee's brand is stronger than it has been in quite some time without the constraints challenges we've had navigate over the past few years. This optimism was evident in last month's annual franchise conference where we aligned with our partners around our 2020 strategic plan. This plan included our focus on guest satisfaction, value and innovation, on-premise and excellence and restaurant P&L cost reduction.  On the guest satisfaction front, we continue to see consistent progress and core brand attributes, such as brand affinity likely to recommend and likely to visit. We also track the percentage of our guests experiencing a problem and our franchisees are very proud of the fact that we have reduce this important metric from a high end 8.1% at the start of 2017 to an all time low currently of 4.3% with very little variability across the system. While value for the money perceptions continue to hold steady for Applebee’s, this was a central point of discussion with our franchise partners and you will see a renewed commitment as I mentioned our last call to value in our tactical plans moving forward. On the on-premise front, Q3 sales were up 13.7% on top of last year's 36.6% increase, on-premise continues to be the important growth engine for Applebee's as we believe we are in the best positioned brand and CDR given our useful demographic profile or menu variety, value orientation and the fact that we have more locations than anyone else in the category. To go its currently about 70% of our off-premise mix and our franchisees continue to improve restaurant execution around our top two priorities, order accuracy and the order being ready when promised. Delivery represents the balance of our off-premise mix with more than 1400 restaurants now offering Applebee's delivery through our website, as well as third-party delivery through multiple partners. We've also successfully refined our third-party delivery contracts to ensure sustainable margins for our franchise partners moving forward. In total, approximately 65% of Applebee's off-premise orders are now placed digitally. As I have mentioned previously, catering has been activated nationally as the third component of our off-premise business, while currently in its infancy, we believe catering represents a significant incremental sales layer for Applebee's and we plan to begin leveraging this opportunity aggressively in 2020.  Shifting to technology. We believe we can meaningfully enhance our guest experience by introducing Server Tablets beginning in 2020 as well. We've been very deliberate and methodical in refining this initiative overtime, as we established a business case for implementation in partnership with our franchisees. From a guest perspective, there are very clear benefits around speed, attentiveness and engagement. From a server perspective, there are benefits in terms of ease of ordering, enhanced tips and satisfaction and from an operator perspective, there are meaningful labor savings associated with proper deployment, as well as kitchen efficiencies due to a more balanced point of sale order flow. And we've also experienced revenue benefits as all orders, particularly beverages are far more likely to be captured and data entered with Server Tablets. Bottom-line, this is a very contemporary cue for the brand. And when we plan to deploy in sequenced fashion throughout 2020 and 2021 with high cost labor markets first in-line to receive it. Finally, I'd like to publicly recognize the Roche Group out of Philadelphia for being awarded Applebee's franchisee of the year, as well as the Dougherty Enterprises out of New Jersey and Long Island for being awarded Applebee's neighbors of the year, so well deserved. And with that, I'd like to turn it to Jay.
Jay Johns: Thank you, John. Good morning, everyone. IHOP delivered slightly positive comp sales for the third quarter of 2019 marking the brand seventh consecutive quarter of positive sales growth. I'm very pleased with this achievement as we are rolling over the very successful launch of Ultimate Steakburgers platform in 2018. The third quarter represents our longest sustained positive sales performance in three years. And as a direct reflection of the work we've done against our strategy to defend and grow our brand. As stated on prior calls, IHOP has an aggressive growth plan that will continue to build upon for the foreseeable future. Our four strategic initiatives continue to serve as our roadmap each playing a critical role in defending and growing the brand. As a reminder, these are running great restaurants, driving traffic, being where the guest is and reinventing the guest experience. While each strategic initiatives and important IHOP's success, two of the four of the most critical priorities given the category’s traffic trends and labor challenges that are facing franchisees. Now let me provide some color on the two foundational priorities to drive profitable growth. The first is running great restaurants. This encompasses defending our core business. A sharpen focus on operations helps us keep our current guests, drive frequency and attract new guests. At the end of the day, best-in-class operations comes down to having great talent in our restaurants. Best-in-class manager training is essential, which is why you rolled out a new certified leader program this year. Through this program we will certify more than 2,000 managers by the end of next year.  Equally important is simplifying the core menu and our recipes to greatly improve execution in both the front and the back of the house, while also enhancing the experience for our guests, every guests every day. Finally, we are taking corrective steps to address underperforming restaurants, franchisees and/or markets to sustain IHOP's long-term viability. Defending our core business is only half of the strategy though. In order to grow the brand, we need to be on the guest minds and in their path. Everything we do in both the long and short-term is about our second foundational priority driving traffic. There are more than 16 billion meals up for grabs and we believe there's substantial opportunity to steal share from the competition, both within and outside the category. This is an proposition, which was to grow traffic both in our restaurants and off-premise. One way we plan to do this by having a strong, multifaceted value proposition. Abundant value is already a sprinter IHOP and that is not going to change. However, we need more. We are continuing to test multiple approaches such as price points and deals during non-peak hours to see what resonates with our guests and that are profitable for our franchisees. As part of our continued day part expansion strategy, we introduced a new buttermilk, crispy chicken menu. For a limited time, we offered a crispy chicken and pancakes combo for $6.99, this pairing which gave our guest the ideal combination of abundant and value - chicken sales by over three times at our peak and sustained items incidence have doubled the amount of chicken sold prior to the new menu launch. The brand also marks another milestone with the introduction of new gluten-friendly pancakes along with gluten-friendly waffles and gluten-friendly bun for items like our Ultimate Steakburgers. Gluten-friendly menu items were one of the most requested innovations for IHOP and we believe the addition of these new items allows to reach both current and new guests looking for great tasting quality menu items made without gluten. Switching gears, to convenient to our guest. We continue to see solid growth in our to-go business in the third quarter, this is a key areas for continued traffic and sales growth. Off-premise comp sales increased approximately 24% in the third quarter primarily driven by traffic. Today, off-premise makes up a little more than 9% of our total sales an improvement of over 200 basis points compared to the third quarter of 2018. Our immediate goal is to grow our to-go business to 15% of sales. Delivery accounts roughly one-third of total of the off-premise sales, we will also continue to ramp up a number of restaurant offering delivery. Currently that being to over 1,400 restaurant participating with at least one delivery service provider. This reflect an increase of four times the number of participating restaurants just in the last year.  Expanding our sales channels creates additional opportunities to drive traffic, steal share and grow our business. At the very end of Q3, we rolled our IHOP catering in nearly 700 restaurants with another 200 restaurants expected to participated by the end of this year. Learning from the initial launch, we will continue to refine and grow the platform in 2020. Although still into early stages we are very optimistic about the potential for this business, I will provide additional update in due course as progress is made. Keeping IHOP top of mind for our guests is imperative to drive CapEx. Our My HOP, consistently show cases new foods and offers to our guests and now includes an exclusive experience. In partnership with A&E Network, we created a tiny IHOP restaurant and offered up a once in a lifetime dining experience from IHOP members only. We will continue to find fun creative ways to drive sign-ups for our E-club, e-mail club while also deepening our engagement with our current subscribers. More IHOP in more places is the final push to grow the brand and drive traffic. As Steve mentioned, today we announced a deal with TravelCenters of America to open almost 100 IHOP restaurants in travel centers across the U.S. over the next five years. Guest on the go visiting the TA Center will be able to enjoy IHOP’s full menu of major order items and the full service restaurant. The deal with TravelCenters of America mark the single largest IHOP development deal in the brand’s 61 history and supports our larger development plan. To wrap up, I’m pleased with our overall performance, we are executing against our key strategy, our key strategic initiatives which has served as a roadmap for IHOP’s growth. The cornerstone of our plan is creating fun freshly made food and beverages that delight our guests.  Our Women Time and core menu innovations paired with strategic value offers are meant to tie guest to enjoy more IHOP more offering. Having the right food served in a great environment by outstanding operators is the best way we can defend the brands. To grow the brand we are focus on significantly improving our lunch, dinner and overnight business expanding our to-go business and building new restaurants. All of this is supported with technology that improves the guest experience and maximizes restaurant efficiency. We are confident this approach as stated, we are already seeing great results. And with that, I'm going to turn it back over to Steve for closing comments. 
Stephen Joyce: Thanks, Jay. To recap, we continue to deliver year-over-year improvement in adjusted EPS and adjusted EBITDA in a challenging environment. Our asset light business model generated significant growth and free cash flow during the first nine-months of 2019 compared to the same period last year. This enabled us to return over $125 million to our shareholders through quarterly cash dividend and share repurchases year-to-date.  Both brands remain well positioned to gain share as we execute against multi prong strategies, which are underpinned by strong value propositions. I couldn't be more confident in the long-term plans we have in place to deliver value to our shareholders. Now, we will be pleased to open up the call for any questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from Nick Setyan from Wedbush. Your line is now open.
Nick Setyan: Thank you and thank you for all the color around the franchisee profitability. I guess probably the number one question on everyone's mind is, how we stabilize the comp and improve the comp trend from October and I guess what are some of the learnings from this year that you can apply to next year to ensure a stable comp in 2020 at Applebee's?
John Cywinski: Hey Nick this is John. I referenced a bit of this on our last call. When we met with our franchisees recently in the past few months, we zero in on value, value perceptions and very specifically aggressive value tactics, engineered to be profitable. But those that would drive that value seeker to incremental traffic and sales. We are aligned on that moving forward, as I also mentioned, we kind of pruned up the system. So our underperforming restaurants are out. Our Ad fund this whole, our bad debt is essentially non-existent. And you may see in the market and a current example of that, kind of tactical approach, it's a short-term - but our 25% wing programs would be one example of the program we aligned upon a few months ago with our franchisees.
Stephen Joyce: I think on the higher side of the business to answer that question, we really as we stated, we want to fill our seats where we have opportunistically areas lunch, dinner, overnight. We are very strong in breakfast, we want to continue that. We will keep working on breakfast innovation and bringing great new family fun items in our pipeline. And we've got to work on value and I think value especially to help us fill seats during off-peak period.
Nick Setyan: Was advertising spend at Applebee's up year-over-year, because when I kind of do a 3.5% IHOP and I back into the advertising spend at Applebee's it seems like year-over-year it may have been down. And then, what is the expectation in Q4? And then what is the expectation on ad spend in 2020 relative to 2019?
John Cywinski: Nick, it’s John again. Q4 is favorable versus year ago. And our kind of back half is a little more favorable than the front half. And so I mentioned to get to a more predictable run rate and operating model here by virtue of the absence of bad debt, the commitment of 4.25% moving forward, you'll see a very balanced quarter-to-quarter flow of dollars and TRPs in 2020.
Thomas Song: Hey Nick, this is Tom, just a couple of details as well. You mentioned the ad fund comparison, while at Applebee's you did have a 425 ad fund rate both last year and this year for Q3, what I want to remind everyone is that in 2018, you had some prior quarter collections for Q3 and Q4 that boosted up both franchise revenues as well as ad fund collections. And so, yes, that was a little bit offset, you had fewer effective restaurants open. So a couple of puts and takes there. 
Nick Setyan: Got it. And then just lastly, what's the plan with the company on stores going forward? And also, when you add back the D&A, what was the four-wall EBITDA margin in Q3 versus the operating margin that you guys disclosed? 
John Cywinski: Let's start with the expected longevity of the ownership. As we said when we bought it, our view was we didn't want to wait and allow those restaurants to continue to rate any further than they had. So we stepped in and quickly bought them and now have moved them up towards the top end of the performance of the system. So our view is obviously we're not a long-term owner of restaurants. And so as we feel that we've begun to stabilize, and those restaurants are in the right position, we will begin looking for an exit strategy. But the exit strategy would fit with our ongoing reformation of the franchise system. And that is we would want to bring in hopefully high performing new franchisees that are interested in growing with us. 
Thomas Song: So Nick, if you look at our guidance with respect to margins, so what we said was that the EBITDA contribution would be approximately $10 million for the entirety of the year, the full year. Then G&A was running approximately $6 million above restaurants. And so that kind of implies a profitability -- a four-wall profitability that's pretty consistent with the system. And if you kind of think of last year being very tail end of the year, so we're literally talking about December was when the portfolio was acquired by Dine. I think we've been all pleasantly surprised by how quickly we were able to stabilize, team has done great job of stabilizing the portfolio. And so our guidance remains unchanged on that front. 
Operator: Our next question comes from Brian Vaccaro from Raymond James. Your line is now open. 
Brian Vaccaro : I want to start out with Applebee's and the third quarter comps. And it seems to be a few data points for various sources floating around. And I thought it might be helpful if you could set the record straight on what the system saw from a comp cadence perspective through the quarter? And then as it relates -- sticking with the content, as it relates to your updated comp guidance for Applebee's, these are pretty wide ranges one quarter to go. Would you be willing to tighten that range on your fourth quarter comp and any assumptions that are embedded within that guidance? 
John Cywinski: Hey, Brian this is John. Let's start with your question on Q3. I'm going to resist providing any kind of sequential movement within the quarter. It's fairly balanced rolling over as you know some unprecedented performance in prior year and our guidance remains as is, it's a zero minus one. You can model that based upon three quarters of data and I don't -- wouldn't anticipate narrowing that guidance at all here as we move forward. 
Brian Vaccaro: Okay, and I guess can you remind us as we move through fourth quarter and the monthly cadence last year, I think you talked about tapping the brakes if you will on the marketing spend in December. Do view your comparisons as getting easier, are they similar as they move to the fourth quarter? 
John Cywinski: And Brian, as I mentioned with mix question, we sit in a favourable year-over-year Q4 position from a TRP kind of a media delivery perspective. It’s balanced within the quarter, but it is favourable versus year ago, whereas perhaps our prior quarters were not. So I like our position, we like our tactical flow of activity that we have planned. And with that said, rolling over two years of a very favourable positive performance for Q4 in '17 as well as Q4 in '18, and again, that's reflected in our guidance. 
Brian Vaccaro: Okay. Thinking about the tactical shift at Applebee's towards value. Can you give us a sense of how Pasta & Grill Combos performed versus your expectation? And also on the $0.25 boneless wing promotion, did you test that in certain markets or in the past and can you give us any sense of how that impacted and really resonated with that value seeking guests you've been seeking to reengage? 
John Cywinski: Sure. I'll start with Pasta & Grill Combos. I resist providing too much color on any tactical event. Other than to say that event delivered an abundant value which is kind of front and center for the brand, and we're pleased with that outcome. The $0.25 wing proposition was tested, it was tested approximately two months ago and very much delivered on that value seeker guest segment that I’ve referenced in the past, Brian. So we have meaningful insights in data, albeit based upon a small sample size and tests and we apply that here as we speak. 
Brian Vaccaro: And Tom circling back to the question on the Applebee's company units, our math would suggest that the profitability flattened out this quarter. Was there something one-time in that, maybe that was seasonality and that was expected but any color on that? 
Thomas Song: Yes, that's a great question. You will see that in the MD&A commentary of our Q. I'll give some further color though which is in talking to the leadership team. There were some non-recurring items in Q3 that will have improved profitability in Q4. 
Brian Vaccaro: Okay. In the end MD&A section, does it have the details of that or would you...
Thomas Song: Brian, it just cites the segment profit contribution.
Brian Vaccaro: And then last one from me. And I do appreciate the franchisee profitability question. You talked about four-wall margins being down. Just want to make sure I heard it correctly. Four-wall margins down 100 basis points year-on-year in the first half of the year. But the four-wall EBITDA margins are still in the low-double-digits. Did I hear that correctly?
Thomas Song: That is correct. 
Brian Vaccaro: Okay. And you called out a 100 bps roughly -- you talked about 100 basis points being related to the delivery cost associated with the delivery build. With this renegotiated agreement, do the franchisees get back half of that, more than half of that, any color on that?
Thomas Song: They get a lot more than half back. So it puts them back in a position of almost equivalent profitability whether it's carryout in restaurant or delivery.
Operator: Our next question comes from Jeffrey Bernstein from Barclays.
Jeffrey Bernstein : A couple of questions. One, just on the unit growth side of things, seemingly you reduced openings or perhaps noted more closures at both brands with one quarter remaining. I'm just wondering if you think there's any underlying long-term concern, whether it’s franchise engagement or interest in accelerating growth going forward? I think on the Applebee's side you said maybe late ‘20 or into ‘21 we might see that growth. But the fact that both brands were taken down, just wondering whether there's any short-term hesitation in terms of net unit growth?
Stephen Joyce: Let me start and then I'll let to contribute. So on the IHOP side, as we've mentioned, based on this field and based on some other things that you'll hear in the future, we are very bullish on IHOP's growth and believe that it's going to accelerate in the future. On the Applebee's side, we believe we're going to start returning to growth with units in '20 and that we'll have moderate growth going past that into '21. And so the real question is, on the development side, we are currently in discussions with franchisees about start -- restarting the development process and with the groups they have in place. But we're also going to use the opportunity to bring in new franchisees with new territorials.
John Cywinski: Good example of that is, we're seeing some growth opportunities not only with -- so we’ve spoken of international being predominantly IHOP, there are some international franchisee interest in Applebee's as well. And if I look at the closure rate, just to nail that down, we don't see anything out of line here. So if I look at Q1, Q2, Q3 and again, this is on some of the details of our financials. There's no real change here. This has been pretty consistent.
Stephen Joyce: The only thing to add is some of those decreases are Dine international.
Jeffrey Bernstein : Okay. And then just following up on an earlier question. You talked about how at least at Applebee's it’s going to be a tough fourth quarter from a comp perspective. The fact that you have I guess 100 basis points range in terms of your full year comp guidance would imply you got 400 basis points potential swing in the fourth quarter, which again to the earlier question seems rather wide considering the relative feasibility that you see on a two and three-year basis. I'm just wondering, if you would offer any color in terms of what October brings or whether you're tracking on the higher or lower end of that very wide range?
John Cywinski : Jeff, no color on October. But keep in mind, we're a month in. And so the reason you see the range that we provided is we have two months remaining. And so, we’re being prudent. 
Jeffrey Bernstein: Okay. And then lastly Steve you mentioned being proud of the growth in both EBITDA and EPS for ‘19 as we look to ‘20 and I know you’re not giving any formal guidance yet. But any directional thoughts on whether it’s EPS or EBITDA growth. I know your long-term guidance was for high single-digit EBITDA and high teens EPS. Just wondering whether that’s around what’s possibility for 2020 or maybe some color on some of the sensitivity of the comps …? 
Thomas Song: I don’t want to talk about actual performance in 2020 but we have not come off our long-term view of this comp.
Jeffrey Bernstein: Okay. And that’s inclusive of sort of 2% to 3% comp longer-term, seems still viable at both brands?
Thomas Song: Yes. 
Operator: Our next question comes from Brett Levy from MKM Partners. Your line is now open. 
Brett Levy : I guess if we could start off just a little bit on where are you seeing these new franchisees coming from? What’s been the general makeup of people that are looking to get into the system?
John Cywinski : Brad, I’ll speak first regarding Applebee’s. We see meaningful demand for the Applebee’s brand externally. And we’re very specific, we’re looking for deeply experienced operators in the restaurant industry, could come from multiple categories, well capitalized. And we’re not looking necessarily for purely financially-oriented entities. And we’ve stated that we will evolve the portfolio seven or eight transactions over the past few years. And you can expect additional transactions as we move forward and those are very high caliber, highly qualified prospective franchisees that allow us to be very selective as we enter in transactions moving forward. 
Stephen Joyce : It’s interesting. We have -- it’s a combination of backgrounds of the new franchisees coming back in. They’re all obviously in the restaurant business, but we’ve had some that are interested, they are coming from the QSR background, some coming from fast casual and some coming from casual dining. 
Jay Johns: On the IHOP side, a lot of the franchisees -- potential franchisees we’ve spoken to, especially think about a concept like ours that is a family dining, a lot of breakfast et cetera. A lot of those potential franchisees they talk about they’re rounding out the portfolio. They don’t have a family dining concept and one of the things they look to do is not compete against themselves. 
John Cywinski: Final point I will make on the Applebee’s side is as we transact moving forward depending on the geographies, we would have expect that some of those transactions comes with development opportunities as well.
Brett Levy: If we could turn to delivery and off-premise for a second. You obviously had a lot of success and you’ve been producing outsized returns. But we’re hearing of -- we’re obviously hearing a lot more on the competitive front that more companies are going after it and with just with the law of large numbers at some point we’re going to see slowing rates of growth. How are you thinking about that both from a competitive but also from how you can get to that next level, how you can get from the nine and low double-digits to the mid or the high teen rates of mix? Thank you.
John Cywinski: Brett on the Applebee’s side we’ve accomplished one of our accomplished one of our objectives as Steve referenced by passing along those third-party delivery fees to -- we did that at both brands to the guests. And so we want our franchisees to be margin-whole, if you will, whether that is a dining experience, to go experience or a delivery experience. And then we let the guests decide. We have a very clear demographic profile of our off-premise users. They tend to be very heavy Applebee's guests. They use dine-in as well as off-premise. We make it easy for them. We've enhanced packaging and certainly enhanced our operating experience. We're getting better at accuracy and delivering that food on time. And so this is not a fully optimized segment of the business. It is highly incremental. And we love our position.
Jay Johns: And I think from the IHOP standpoint, the way we look at it is that first of all you got to be in the game. You don't want to concede off-premise to all the competitors that are doing it. So we're in the game. We're doing really well. We're growing the business. We're still at very high growth rates, about 25%. We think there's still more opportunities. We're only a 1,400 plus restaurants that are doing it. We still got more restaurants we can add on. We have more delivery service providers within the restaurants we already have that you can expand service providers because some guests use one instead of the other, they use DoorDash but not UberEats. So if you get more providers, you can actually expand your ability to capture more guests. We just rolled our catering to expand that business.  So those all have kind of a run of time that where we think we can get great growth in next few years. You're right, at some point there's going to be a point where, okay, maybe there's not a lot more growth within the industry. We don't think we're anywhere near that right now. And then we're just going to have to execute everybody and it becomes a share war some point at the end, but we're far from the end. 
Stephen Joyce: But in response to your question about what's going to take us to the next level, for both brands, we see catering as the major opportunity because we think that space has been underserved and that both our brands can relate very well to catering operations. So we are prepared as we always did, the packaging and everything else we needed. We're going to target both residential catering for families and family get-togethers and social occasions. But we're also going to go after business catering as well, because we believe in a lot of cases, our product would be more desired than some of the other ones that own that business today. And we just need to get out and have the franchisees be able to execute well on the catering front.
Brett Levy : And I guess, if I could sneak in one more. As you’ve lowered the outlook for the fourth quarter, how much of what you're seeing do you think is internal, whether misstepped or just not achieving as high rate of usage on your menu and your offerings versus what you're seeing externally across the competitive landscape? And then I'll throw it back to the queue. 
John Cywinski: Brett, this is John, I had acknowledged this, I think I acknowledged it in the past, I don’t know, on our Q2 call. Some of this is self-inflicted with Applebee’s, I would use [indiscernible] again, as a good example where we have a product that is exceptionally well received by our guests. Our failure to launch that product with a trial incentive or a starting at price point from the data, we see led to a misstep. We didn’t secure the value seekers. Trust me when I say we've applied that learning to our tactical plans moving forward. So as we normalized here and we reduced bad debt, and we've closed our restaurants, honestly for the first time in three years I feel like I don't have a hand tied behind my back. And the brand is poised for predictable stable growth and we won't have those missteps with respect to value as we kind of look forward in 2020. 
Jay Johns : I mean on the IHOP side I fully expect that we will outperform the industry. So there are headwinds for the industry. Clearly there's traffic challenges across the industry. And I think there's a cycle that takes place here where there's minimum wage pressure on franchisees to take price et cetera, and not just in our business and you look across the entire industry, there's margin pressures. People overcome margin pressures by taking price. You take so much price, you run off traffic. There's a cycle that goes on here. And we think through having the right offerings and the right products and the right experience that we will be able to overcome that and perform better than the industry. So we're confident in our plan and confident in the direction we're going right now. 
Stephen Joyce: But in both conferences, just we showed the franchisees the cost of taking pricing in excess, of where the consumer expects the price increase to go. And so -- and we could definitely show a correlation between those who are more moderate in price and our ability to hold traffic and perform better. And so on both brands, that was a major part of the discussion, because some of the performance issues that are internal are based on taking price. I would also say, though, that in general it's a pretty tough competitive operating environment. And in both cases, our expectation is we're going to outrun the competition in Jay's case, they are, John's case, they're kind of at it. And so -- but our stated goal is we want to lead the industry.
Operator: Our final question comes from Brian Vaccaro from Raymond James. Your line is now open. 
Brian Vaccaro: Yes, just had a quick follow up. On the IHOP side the upcoming guidance would seem to suggest a pretty nice acceleration in comps versus what you just reported in the third quarter. That's despite lapping more difficult comparisons. Could you help us understand what's driving that acceleration, whether that’d be a successful product launch, is it day part specific. Any color you can provide? 
Jay Johns : Well, I don't want to get into how the quarter breaks down and those exact trends et cetera. So, if you just look at our guidance, I mean all we really changed was we tightened it a little, we lowered the high end down. But if you -- we were we were 1:1 at the year-to-date number, our guidance is 1 to 2. So we're still -- I think we're comfortable with where our guidance is and where we're going to end up. But I don't think there's just huge acceleration implied in any of that. 
Stephen Joyce : But we have -- but having said that, and not to get into numbers, but we believe we've got strong programs in place for the remainder of the year. And we'll just have to see how well they perform, keeping in mind that the Grinch was a very successful program for us last year.
Operator: That completes our question-and-answer session. At this time, I would like to turn the call back to Steve Joyce for closing comments. 
Stephen Joyce: Okay, thank you again for your time. We'll look forward to speaking with you again on our fourth quarter call and the progress we've made. Have a good day.
Operator: Thank you, ladies and gentlemen, this concludes our conference call for today. Thank you for your participation. You may now disconnect.